Operator: Good morning, ladies and gentlemen, and welcome to the Henry Schein Second Quarter Conference Call. [Operator Instructions] I would now like to introduce your host for today's call, Susan Vassallo, Henry Schein's Vice President of Corporate Communications. Please go ahead, Susan.
Susan Vassallo: Thank you, operator and my thanks to each of you for joining us to discuss Henry Schein's second quarter results. If you have not received a copy of our earnings news release, you can access it on our website at www.henryschein.com. With us this morning are Stanley Bergman, Chairman and Chief Executive Officer of Henry Schein; and Steven Paladino, Executive Vice President and Chief Financial Officer. Before we begin, I would like to state that certain comments made during this call include information that is forward looking. As you know, risks and uncertainties involved in the company’s business may affect the matters referred to in forward-looking statements. As a result, the company's performance may differ from those expressed in, or indicated by, such forward-looking statements. Also, these forward-looking statements are qualified in their entirety by the cautionary statements contained in Henry Schein's Securities and Exchange Commission filings. The content of this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast, today, August 2, 2010. Henry Schein undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. I ask that during the Q&A portion of today's call you limit yourself to a single question and a follow-up before returning to the queue. This will provide the opportunity for as many listeners as possible to ask a question within the one-hour we have allotted for this call. With that said, I'd like to turn the call over to Mr. Stanley Bergman.
Stanley Bergman: Thank you, Susan, and good morning, and thank you, everyone, for calling in to the Henry Schein Second Quarter Conference Call. We are very pleased to report strong top line growth for the quarter and we continue to see indications of positive market trends throughout our global business. We're also very pleased to support that diluted earnings per share for the second half of 2010 is up 13.8%, compared with the first half of 2009, excluding restructuring costs in both periods. And we have increased the low end of our annual 2010 earnings per share guidance as Steven will discuss later in the call. Of course, further details on the second quarter will be provided as well. In a moment, I'll provide commentary on each of our five businesses, but first let me ask Steve Paladino, our Chief Financial Officer, to provide an overview of our core belief financial results. Steven?
Steven Paladino: Okay, thank you, Stan, and good morning, everyone. I, too, am pleased to be reporting strong results for the second quarter of 2010. Our net sales for the quarter ended June 26, 2010, were $1.8 billion, reflecting a 15.1% increase, compared with the second quarter of 2009. This consists of 15.6% growth in local currencies and 0.5% decrease related to foreign currency exchange. In local currencies, our internally generated sales were up 2.1% and acquisition growth contributed 13.5% to our sales. You can note the details of our sales growth as it's contained in exhibit A of our earnings news release that was issued earlier this morning. Selling, general and administrative expenses for the second quarter of 2010 were $407.6 million, representing 22% of sales and that's unchanged as a percentage of sales from the second quarter of 2009. Let me point out that the second quarter SG&A expenses included integration expenses related to the Butler Schein integration, as well as acquisition-related cost. Excluding those expenses, our SG&A as a percentage of sales improved by 17 basis points compared with the prior-year second quarter. Our operating margin for the second quarter of 2010 was 7.5% and declined 13 basis points compared with the second quarter of 2009. Again excluding the impact of integration and acquisition-related costs, as I just described, our operating margin increased six basis points compared with the prior year's quarter. Our effective tax rate for the quarter was 31.2% and that's down from 32.9% in the prior year's second quarter. And that reflects certain domestic tax planning strategies that we discussed on our last quarter's conference call that we have implemented. And because of those tax strategies, we expect our full year 2010 effective tax rate to continue to be in the 31% to 32% range as we continue to implement and get benefits of those tax savings initiatives. Our income from continuing operations attributable to Henry Schein Inc. for the second quarter of 2010 was $84 million or $0.90 per diluted share, up 14.6% and 11.1%,respectively compared with the second quarter of 2009. Now I'd like to provide some detail on our sales results for the quarter. Starting with our North American Dental sales for the second quarter of 2009, increased 8.9% to $677.6 million and that consists of 7.5% increase in local currencies and a 1.4% increase related to foreign currency exchange. Our Consumable Merchandise sales increased 7.1% in local currencies, including a 1.3% increase in internal sales and approximately 5.8% growth related to acquisitions. This 1.3% internal growth is in line with the 1.2% we reported for the first quarter of this year. Our Dental Equipment sales and service revenues increased 8.6% compared with the prior year's quarter in local currencies, including an 8% increase in internal sales and 0.6% growth due to acquisitions. This is the second consecutive quarter we have posted positive Dental Equipment sales growth and this quarter's 8% internal growth in local currencies compares very favorably with the 0.5% growth we reported in the first quarter of this year. Our North American medical sales were $286.3 million in the second quarter. That's a decrease of about 0.4%. Internally-generated sales decreased 4.2% and acquisition growth was 3.8%. Results of the second quarter of 2010 were negatively impacted by reduced sales of products related to the H1N1 virus compared to the second quarter of 2009. Excluding the impact of those sales from the prior year, we estimate that our North American medical internal sales declined by 1.7%. We also believe that overall patient traffic in physician offices were down in Q2 and that we performed better than the overall market. North American Animal Health sales were $234.7 million for the second quarter. That's a significant increase of 269.7% primarily related to the Butler Schein transaction. Our internally-generated sales were essentially flat. And you should note that it's very difficult at this time to precisely calculate the internal sales growth for the North American Animal Health business since that business has been fully integrated as part of Butler Schein. But our best estimates are that the internal growth was essentially flat. Looking to our International sales for the second quarter of 2010. They were $602.4 million, up 1.8% compared with the prior year's quarter. This consists of a 4.7% increase in local currencies and a 2.9% decrease related to foreign currency exchange. Internal sales increased 4.1%, while acquisition growth contributed 0.6%, both of those numbers are in local currencies. I'd like to point out that the International comparisons for the second quarter of 2010, and particularly in Germany, were negatively impacted by the timing of the biennial IDS [International Dental Show] Trade Show in Europe, which occurred last year. The IDS show contributed to a difficult comparable in Q2 '09 when we posted sales growth of 13.4% in local currencies for the second quarter of last year. Our International Dental sales, which represent approximately 70% of our International business, grew 2.6% during the quarter. This consisted of 5.4% growth in local currencies and 2.8% decrease related to foreign currency exchange. Internally-generated sales in local currencies increased 4.4% and acquisitions accounted for an additional 1% growth. If we look at the breakout between Merchandise, Consumable Merchandise and Equipment, our internal growth in local currencies for Dental Consumable Merchandise was 4.7% and 3.8% for Dental Equipment. We saw Dental Equipment sales particularly strong in the Czech Republic, New Zealand, Spain, France and The Netherlands. Again, Germany was negatively impacted by at last year's IDS show. But despite the difficult comparable for Dental sales, we still achieved very strong local currency internal sales growth for International business during the quarter. Our International Animal Health sales, which represents 27% of our International business were 1.2%. This consisted of 4.2% growth in local currencies, all of that internal, and a 3% decrease related to foreign currency exchange. Last, our Technology and Value-Added services sales for the second quarter of 2010 were $48.4 million, up 13.7% compared with the prior year's quarter. This consisted of 13.2% increase in local currencies and a 0.5% increase related to foreign currency exchange. Our internally-generated sales in local currencies increased 8% and acquisition growth was 5.2%, and that acquisition growth was primarily due to the acquisition of the European Veterinary Software and Practice Management business. And during the quarter, our overall business, we saw continued strong growth in our Electronic services and Software businesses. If we take a brief look at the highlights of our balance sheet and cash flow for the quarter, our operating cash flow for the quarter was $107.3 million, that compares to last year, which were -- it was $106.7 million. We continue to expect operating cash flow for the year to exceed net income. Let me also point out at this time that we currently have a $240 million convertible debt on our balance sheet. We expect to call that convertible debt in Q3 and that's really to eliminate one of the more expensive sources of capital that we have. Our accounts receivable days sales outstanding from continuing operations increased slightly to 40.3 days, compared to 39.8 days for the second quarter of 2009. Our inventory turns from continuing operations for the second quarter improved to 6.5 turns and that compares to 6.2 turns for the second quarter of 2009. I'd like to conclude my remarks by discussing our 2010 financial guidance. We are increasing the low end of our range for 2010 diluted EPS attributable to Henry Schein, Inc. and we are increasing that to $3.46 per diluted share. The new range of 2010 diluted EPS attributable to Henry Schein is $3.46 to $3.56. And that compares to the previously issued guidance of $3.44 to $3.56. We're particularly pleased to be increasing our 2010 EPS guidance range despite a strengthening of the U.S. dollar against the euro and the pound sterling. Our currency exchange is expected to adversely impact, assuming rates stay where they are, our 2010 diluted EPS by $0.05 to $0.06 for the year and that's included in our new EPS guidance that we just issued. Our 2010 guidance is for current continuing operations, as well as completed or previously announced acquisitions and does not include, as always, the impact of any potential future acquisitions if any. Also, the 2010 guidance excludes the impact of restructuring costs, which were in Q1 and they were $12.3 million pretax or approximately $0.09 per diluted share. Let me now turn the call back to Stanley.
Stanley Bergman: Thank you, Steven. I'd like to begin my review of our business with the North American Dental business. Continued internal Consumable Merchandise sales growth in local currencies during the second quarter affirms our confidence as we discussed in the last conference call that the market will show a gradual improvement for the rest of the year. In time, we do expect this market to return to more normalized growth rate that's somewhere around 4% to 5% annually. Also, our strong internal growth in Dental Equipment sales during the quarter is another positive market indicator. Equipment growth reflects higher demand for basic, as well as for high-tech equipment. So we've seen good sales on the traditional equipment, as well as the newer products that have been introduced into the dental market in recent times. We believe that the pent-up demand for Dental Equipment will have a positive impact during the second half of the year and our order book continues to grow. This, of course, we are very pleased with. We look for particular strength during the fourth quarter as dentists take advantage of certain tax incentives. Overall, for the year, we expect the U.S. dental market to be flat to up by single digit percentages compared with the year 2009. We are pleased that Domestic Dental procedure volumes seems to have stabilized, and are quite confident that we have and will continue to gain market share in the very important North American dental market. Now turning to the North American Medical business. It's important to bear in mind that when looking at our estimated internal sales decline of 1.7%, excluding H1N1 products for the year, we believe that the market for patient visits to physician offices has declined by even higher percentage. We believe a lot of the decline, by the way, is a result of H1N1 difference in the environment between 2010 and 2009. However, there is a slight decrease in the number of patient visits across the board. Last quarter I discussed Henry Schein's ConnectHealth, a major initiative we have launched in the physician arena. ConnectHealth is a collaboration of major healthcare companies delivering coordinated digital solutions to physician offices. Led by Henry Schein Medical, the participants include a world-class leader in electronic health records, namely Allscripts, digital equipment leaders and a computer hardware supplier, namely Dell. Of course, the digital equipment leaders are amongst the most prestigious medical equipment manufacturers. The goal of ConnectHealth is to help physicians deliver better patient care and improved efficiency through the use of connected technology. We are very excited about this comprehensive approach to responding to our customers' needs for digital solutions. As the definition of meaningful use becomes clearer to the medical practitioner and as the medical practitioners seize the increase in flow into the office with the healthcare reform legislation, albeit being reimbursed at a lower amount per procedure, we think and believe that the use of Electronic Medical Record [Electronic Medical Records] will gain further acceptance and we believe that together with our partner, Allscripts, we are well, well positioned to advance our sales of electronic medical records software, digitalized medical equipment and our position in the medical marketplace in general. As we approach the influenza vaccine season, we look forward to solid sales of seasonal vaccines. Although it's early in the process, we, at this stage, anticipate abundant supply from our manufacturers with more doses than we received last year. Most specifically, we expect to sell somewhere between 12 million, and even as high 14 million doses of flu vaccine this year, which compares with about 9 million doses last year. At this stage, we have been assured by the manufacturers of early availability of flu vaccine. North American Animal Health. Let's take a look and give you an update on our integration work with respect to our joint venture, Butler Schein Animal Health. We are very, very pleased to report that pricing is uniform across the combined customer base. Sales terms have been harmonized. Sales territories have been realigned and assigned and all the branding marketing and billing is now under the Butler Schein Animal Health brand. This is a remarkable achievement; all of this done, completed, within a very short period of time. I mentioned during our last conference call that we had lost only three of 300 sales representatives since the formation of Butler Schein Animal Health joint venture was announced. And I'm pleased to report today, that the number still holds at three. By any stretch of imagination and with 30 years of experience in this field, I can conclusively provide our investors with confidence that this is an extraordinary achievement. From an operations perspective, we have consolidated two telecenters previously operated by Henry Schein into the Butler network. As of today, we have closed six distribution centers and the final one slated for closure was shut down during the current, that's this third quarter. Indeed we expect the integration process will be done in its entirety during the third quarter. So overall, we are pleased that integration initiatives continue to advance very well. But beyond efficiencies and savings to be gained from the integration, we also have several exciting opportunities to grow our Animal Health business in the United States. I mentioned last quarter that we are delighted with our success in retaining manufacturers relationship with both the Butler, former Butler and the former Henry Schein portions of the business. As such, we are able to offer a more complete line of products to our Veterinary customers and enhance our ability to deepen customer relations. We are able to bring Butler customers the Henry Schein Financial Services offering for Veterinary Equipment, as well as the Henry Schein Credit Card, which features a 2% cash back benefit on all purchases, which is completely funded by the credit card company. Also Butler customers are now able to purchase the private label products that previously been available from Henry Schein Veterinary. And in fact, all of the Butler Schein Animal Health customers have access to the complete array of Henry Schein world-renowned private brand product offering, which complements the most comprehensive, branded offering in the industry. With the expansion of our Animal Health presence, our scale and global reach, will provide numerous benefits for manufacturers, as well as customers, in the years to come. Of course, these synergies on the sales side are yet to be reaped as we are, at this point in time, primarily internally focused as we should be on the integration side, and by the fourth quarter, we expect to be back again focused on sales and marketing. And at the same time, providing a review of the global opportunities that may come from a synergistic cooperation between Butler Schein Animal Health in the United States and Henry Schein's global Animal Health business. Let me now for a moment review our International operations. We are very pleased to be reporting continued sales momentum overseas. Our International results reflect growth in the Dental and Animal Health businesses with particular strength in Spain, France, Holland and the U.K. The German Consumable business also continues to show strength. Of course, the German Equipment business had challenging comparables because of the second quarter 2009 IDS sales. We expect to see a similar pattern again next year when the IDS has its convention in 2010. In Europe, we are growing at a rate of about double our estimates of the market growth. And in general, our customers have not seen a slowdown in patient traffic. But Europe has been in the news a great deal lately as various countries are facing issues with sovereign debt, and are discussing potentially dramatic austerity measures. We are not seeing an impact from those challenges on our businesses in Europe for several reasons. First, our growth in Europe is driven more by market share gains than by market growth. Second, the majority of our European Dental sales are in Germany, France and the United Kingdom. And those countries are not facing the challenges than some other countries are, at least not from healthcare point of view. In fact, we continue to grow nicely and gain market share in each of these three geographies plus, of course, the important market of Italy. We recently introduced financial services into Germany, France and the U.K. and that is a good example of what's driving our growth. While we continue to add new customers, our growth is largely increasing penetration into existing accounts. And third, as practitioners have become more and more efficient, we believe we can be an important part of the solution. There is a need for practitioners to operate a more efficient practice in Europe, as of course here in the States, and we have the tools as is the case here in the U.S. Globally, we will help, we will continue to help dental and medical offices run more efficiently, of course, as well as Animal Health, while delivering the highest level of care to their patients. Whether through advanced technology, practice management software or competitively priced products that are used everyday, we are determined, we are most determined to help customer practices to run smoothly, while providing value for unrivaled offering of products and services. Henry Schein, to remind our investors, is the only company serving dental, medical and veterinary offices on a Pan-European basis. Because those markets remain highly fragmented, we have considerable opportunity to take market share gains and consolidate. Of course, this is not limited to only the United States, Canada and Europe, but also to Australia, and New Zealand where we are doing very, very well, as well as an opportunity for us to enter, continue to enter, other markets that presents global reach from a Henry Schein point of view. Let me conclude my review of our businesses with a discussion of the Technology and Value-Added services part of Henry Schein, where once again we have posted positive growth in local currencies, as well as, of course, sales including acquisitions. We're always looking to bring our customers leading edge technology solutions, and now we've made extra single solutions even easier. At the CDA [California Dental Association] Spring conference this past May, out in California, we launched Dentrix Mobile. This is a remote access tool that allows dentists to view their appointment schedules and patient information from their smartphones and mobile devices. Dentrix Mobile is a new feature of the DENTRIX G4 Practice Management System that provides dentist who are away from their practices and secure access to schedules of all their practice provides and patients. The system provides access to appointment by provider. They also can access important patient details such as prescriptions and medical alerts. Also a few weeks ago, we are pleased to announce that our DENTRIX Enterprise Practice Management Software received national certification from the U.S. Indian Health Service Office of Information Technology under the Division of Oral Health. DENTRIX Enterprise, which is a solid and well-performing and well-received system has been in use by individual IHS sites for two years and has been well, well received and can now be deployed as the Electronic Dental Records solution for all federal and tribal sites in the United States. We are extremely pleased with the terrific job that our development people out of DENTRIX in Utah have accomplished. It is gratifying that DENTRIX Enterprises has received the prestigious national certification of design and has been selected by IHS for this important project. Of course, receiving this certification leads other potential Enterprise customers to appreciate the functionality and quality of the DENTRIX system. So there's a lot going on in Henry Schein. Steve, and I will be very, very pleased to take further questions or to take questions actually, and expand on the performance of the business and expectations for the future. So thank you for your attention. And now operator, we are ready to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Robert Jones with Goldman Sachs.
Robert Jones - UBS: Steve, you mentioned calling back the convertible debt next quarter. Can you just maybe give us a little more insight on the impact that will have around interest expense? And then maybe if that actually has any impact on share count?
Steven Paladino: Sure. Right now, today's price when we call it, it will probably have very little impact on our share count. But obviously, if the stock price continues to increase, it'll have a future benefit to stock share count going forward. With respect to the direct P&L costs, we would expect to finance that and have really a slight benefit to our interest expense going forward from the time that we call it. We are eligible to call the convertible some time after August 20, on or after August 20. So we are today putting in place some long term financing in order to accomplish that, but we feel comfortable that we'll get that done during Q3.
Robert Jones - UBS: So not a major impact then?
Steven Paladino: No, not major impact today. But again, the future impact, as the stock price increases, might be a nice impact that were looking to avoid.
Robert Jones - UBS: And then just one follow-up, it seems that sales in the quarter were helped from acquisitions, particularly in the North American Dental segment. Can you just maybe give us a little bit more detail on what exactly those acquisitions were, and then how much did that contribute? If you think about the backup of the year and the updated guidance, how much does that contribute to guidance?
Steven Paladino: Okay, we did see some smaller acquisitions both in Q1 where we're not seeing the full quarter impact in Q2, as well as some additional smaller acquisitions in the North American Dental market in Q2. We didn't do any press releases on those acquisitions since they really weren't significant. Most of those acquisitions are in our dental specialties area, and we would expect that this current quarter's impact on sales will continue to have a similar impact going forward. On the bottom line basis, it really had very little, maybe slightly negative impact this quarter, those acquisitions, because of one-time costs. But we would expect the sales to continue in Q3 and Q4 at the current rates that we saw in Q2.
Operator: Your next question comes from the line of Steven Valiquette with UBS.
Steven Valiquette - UBS Investment Bank: First, on the North American Medical business, I just want to get your thoughts on the back half of the year as far as the soft physician office visits. Should we assume that's just going to continue and, obviously, I realize you don't have a crystal bowl on that, but I just want to get, at least, your initial view on whether that's going to be more short lived in your point of view or whether that might drag on for a while.
Stanley Bergman: Yes, Steve, of course I just said no one has a crystal ball. There are lower number of visits to the physician offices at this point. Quite a bit of that, of course, is driven by the H1N1 change. There was more concern last year versus the concern this year. It is very hard to determine how much exactly of the traffic is related to H1N1. There will be lots of articles written in that area and there's a lot of debate. It's quite clear what our sales, additional sales were of the products related to H1N1, which we've given our estimates in the call. We're not down on the medical market. There is that sentiment out there that we think that there could be few ups and downs. Longer term, medium term shall we say, healthcare reform will drive further visits into the office particularly at the primary care level. Although it is expected that reimbursement per procedure is likely to go down. So the use of products is likely to remain stable, taking out H1N1, more or less stable and go up a little bit. Having said that, there will be no doubt lower reimbursement per procedure. Lower reimbursement per procedure will mean that the practitioners will be seeking more value for the dollars they spend on products, and that's our job to make sure that we provide the best value in products to our customers. This could, in fact, dampen internal growth, but it's highly unlikely that it will dampen profits. In fact, we think the opposite. This, together with the increase in demand for electronic medical records, which will also be driven by the need to make the practice more efficient, but at the same time, it will be driven by the government subsidies. All of this should help our business in the long run. So we will be called upon to help practitioners operate a better business, more efficient business so that they can provide more quality care to more patients, higher quality care to more patients. All of this, we think, will present good opportunity for our Medical business. And I think one has to be very cautious when one reads all the articles about traffic, as there are many dimensions to the medical practice, and certainly, the impact of any change in patterns on our business needs to be very carefully thought through. In fact, we're quite optimistic about our Medical business.
Steven Valiquette - UBS Investment Bank: One other quick one as far as the plus 8% growth in North American Dental Equipment. That was obviously pretty strong. Any further color on that besides just breaking it down into old and new equipment as you mentioned as far as other product categories you serve? Any ones that drove that in particular, do you want to shed any light on?
Stanley Bergman: Yes, I think Steven might have mentioned. I don't remember I mentioned it, but there certainly is some pent-up demand, replacement of traditional equipment. Not sure how much is pent-up demand and how much is the desire to just have a better office, more efficient office, a better appearing office. So we continue to remain quite optimistic. Our backlog, which is what we monitor carefully, is consistent with prior years in terms of the pattern as to when backlog is created during the cycle of the year. Of course, we continue to be optimistic on some of the new technology products, whether it's the 3D x-ray system, certainly digital, there's still many, many practices well over half. Some would argue well over 60% of practices still don't have a digital x-ray. Of course, CAD/CAM is a very exciting area. Only a very small percentage of dentists have CAD/CAM. We expect that to do well. And so overall, at this stage, as we're sitting here today, we remain quite optimistic about our Dental Equipment business for the remainder of the year. Of course, also you're aware of the tax incentives that will be surely viewed by practitioners at the year end as an important part of their practice planning, cash flow planning. The market is a little bit challenged on securing financing. It was much easier to secure financing two years ago, but still Henry Schein Financial Services, in one way or another, is able to secure financing for 90% or so of applications. And of course, that's down from the 98% or 97% of two years ago, but also we think that we're getting more applications for financing directed to us versus going elsewhere. That's credit to our Financial Services people. And overall, we remain quite optimistic about our Dental Equipment business, and we see a consistent yet slow increase in the internal growth rate on the Consumables side.
Steven Paladino: Let me just add, I'll add also just financially on Equipment, a little bit of color. The good news is that we saw good growth both in traditional as well as high-tech categories. We continue to see high-tech growing at a faster pace, but traditional also grew nicely. And within high-tech, I would say that the fastest-growing category is in the digital radiography area. And that's probably those trends we would expect to continue going forward.
Operator: Your next question comes from the line of a A.J. Rice with Susquehanna Financial
Albert Rice - Susquehanna Financial Group, LLLP: Couple of questions if I might, obviously, part of the story the potential for improvement in the European or the International business margin. Can you give us some flavor for how you did this quarter and where we're at in terms of realized events margins, gains that you're targeting long term?
Stanley Bergman: Sure. We saw another good increase in International operating margins. I don't have the exact number, but it was similar to Q1 operating margin expansion. That's moving, continuing to move in the right direction for us. We believe that we'll achieve, well actually, exceed our operating margin expansion goals for the current year internationally. Some of that now, obviously, because of foreign exchange. It all translate in to bottom-line earnings. We did see foreign exchange have about a $0.01 of negative impact for us in Q2. But overall, we feel like International operating margins are continuing to go in the right direction.
Albert Rice - Susquehanna Financial Group, LLLP: And I know on the Butler acquisition, the original guidance was that slightly dilutive this year, accretive next year. And I think the maximum issue [ph] was in this quarter or next quarter as you integrated the business. It sounds like integration is going well, and overall, the scintillation has probably exceeded expectations. Is there any update, you think it will be additive more quickly, maybe, than you thought? Or have we passed the worst dilutive impact in this quarter since most of the integration sounds like it's done?
Steven Paladino: Yes, we still have little bit more integration, obviously, in Q3 as Stanley talked about. But certainly, we're expecting to be ahead of schedule and completing the physical integration, and therefore, we think that there is benefit going forward. Right now, we're not changing our overall guidance on that acquisition, the impact of it. But we certainly believe that there's good opportunity now to start focusing on revenue growth and we think that the combined company is obviously the leader in the market and should be able to drive strong revenue growth. And we're going to start really focusing on that starting right after the integration is complete. So there's potentially upside there, but right now, I think the good news is that the heavy lifting, so to speak, on the integration was completed extraordinarily well. And we retained all but three of the sales people, the field sales people. So overall, I think we're in good position going to late this year and next year.
Operator: Your next question comes from the line of John Kreger with William Blair.
John Kreger - William Blair & Company L.L.C.: As you look across your key businesses, could you just talk a bit about which businesses you're seeing underlying demand in volume improvements versus maybe slowing? And the context of the question is a lot of these other healthcare companies have talked about some slowing, underlying demand trends in the second quarter. It doesn't sound like you're really seeing that, but if you could just, perhaps, clarify where you had positive or negative surprises as the years gone on, that would be helpful.
Stanley Bergman: John, overall, our sentiment is consistent with our message delivered during our first quarter call. And that is we believe we sort of reached the bottom of the overall markets, and that we're seeing a slow increase in demand for our products. Any movement either way is in terms or should be viewed in terms of basis points rather than major percentage changes. There is very little data out there, solid data that we can rely on. Having said that, I feel for the North American Dental market, is that the market is probably flat to going slightly. A little stronger in Canada, a little stronger with large practices. And the consumables are in the positive territory, not much, but we're gaining market share from an internal point of view for sure and internal local currency point of view. The equipment side is stronger than last year, although not quite back to where it was before the third quarter of 2008. The trend that we saw in the second quarter is a trend that more or less we'd expect to see played out during the third and fourth quarter. On the medical side, I already gave some thoughts. You have to x out the H1N1 for sure. How stable the market is once you've x that out is hard to tell because really hard to gauge exactly how much the impact of H1N1 was. It definitely have an impact, but not a huge impact. Definitely an impact. The traffic is down. How much of the traffic is down related to non-H1N1 items, hard to tell. Probably a little bit, but not huge. Definitely see over the next quarters ahead, definitely over the next year, more visits driven by healthcare reform on the primary care side, probably less visits on the specialty side. All in all, more visits but lower reimbursement per procedure means the practitioner are going to be shopping for better value. It means we need to be there to help a better value and help put electronic medical record that is going to be in demand and the related integration to digitalize equipment. On the Vet side, very hard to tell. We believe the market maybe flat to slightly down, one has to be very careful when looking at statistics. First of all, there are two markets, agriculture, large animal and the companion animal. We are primarily in the companion animal virtually, totally. Then one has to look at the swing between Agency business and business where the full sale is booked. This can be very confusing when looking at numbers in this area. We spent a lot of time on this, and we conclude that it's just not easy to figure this all out. Then third there is the trend between large practices and small practices. It's our view that the larger practices are suffering to a greater extent than the smaller practices. In fact, Steve and I were just talking about that this morning. It's hard to know the exact reason, but it's a fact. It seems like traffic in the large practice is down a little bit, in the large practices it seems like it's up a little bit. All in all, we now view, remains a very good market. Europe, well, it's hard to give you a feel for the entire of Europe. But our view is that on balance, the market is probably flat but more likely to be growing in low-single digits. Not to take out the ideas impacting the second quarter for equipment. Taking that out, we believe we're in positive low-single-digit growth areas. Consumable, more stable. Equipment in parts could be a little bit on the upswing. Discounting for the IDS. So on balance, we remain quite optimistic that our markets are more or less flattish to slightly up, but definitely bullish on our ability to gain market share, in prac [practically] in every market. I have to be careful to use the word every, but practically every market we're in.
John Kreger - William Blair & Company L.L.C.: Steve, one quick question, if you think about what's in your guidance for the second half of the year versus the first half, do you expect the driver to shifted all between sort of margin and revenue compared to what you got in the first half of the year?
Steven Paladino: Well, we still expect to see overall operating margin expansion for the full year. And as I said in the prepared remarks, we saw some operating margin expansion for the first six months. It was negatively impacted by the integration expenses and the acquisition costs. By the way, those two expenses in total probably contributed to somewhere around $0.03 negative impact on our current Q2 quarter. So we look through that because those are more one-time items. But overall, we still think that we'll see operating margin expansion going forward.
Operator: Your next question comes from the line of Robert Willoughby with Bank of America Merrill Lynch.
Robert Willoughby: Steve or Stanley, has the deal-related activity in the Dental sector added any self-manufactured capabilities at all? And then just quickly, what have you assumed for the convert refinancing in this year's number? Is there any contribution there?
Stanley Bergman: Bob, on the manufacturing side, I think we've been quite clear in our intentions there, where we cannot access the product and you know it goes back for those that are following us -- that followed us for years. It goes back to the days when we manufactured Dental chairs, once we were able to access a good line of Dental chairs, we then got out of the Manufacturing business. Likewise with digital X-ray. In the early days, no one will give us a good digital X-ray. We brought to market our own. Once we were able to secure a good line of Dental digital X-rays, we got out of that business. We experienced a similar situation on the specialty side. And on the specialty side, we entered the Implant business about five years ago as a manufacturer with CAMLOG. We could not access any of the major Implant lines that time. We still own a significant interest in the CAMLOG International business. Likewise, we have undertaken a similar initiative on the orthodontic side where to Ortho Organizers, we do have some, not a lot, but some manufacturing capability. A lot of the products that Ortho Organizers sells, including product that's sold to the Schein private-brand line and the Maisel [ph] line are actually acquired from third party. So that's our general philosophy. And in general, where we can access -- where we have a problem accessing a line, we will manufacture. It all here and there opportunities that we take advantage of during the global crises several years ago. We've made an investment in our glove machine system, and those kinds of opportunities present themselves. With one point, had a problem in accessing Dental anesthetic. We invested in a plant. We subsequently sold the interest in their plant and no longer own an interest, by the way, in the glove machinery. So those kinds of opportunities appear from time to time and where it makes sense, we will invest accordingly.
Steven Paladino: Let me, Bob, on your second question, the convert. So we think it will be very slightly accretive as we refinanced the convert for the balance of the year. But it really is because of the timing and the year being substantially completed by the time we call it, we have the financing in place. It really will have very small impact for the balance of the year. Of course, we do believe that as the stock price increases since the strike price on the convert was $46 and change that obviously had stock price increases. It has a further benefit to us and we're hoping that, not hoping, but obviously by eliminating the convert we'll eliminate any further dilution from the convert as the stock price increases.
Operator: Your next question comes from the line of Derek Leckow with Barrington Research.
Derek Leckow - Barrington Research Associates, Inc.: Just a question on your Dental equipment backlog. One of the big differentiators between the pattern we saw building last year versus this year is in the basic category. And Stanley, do you believe we're seeing the beginning of practices investing in additional square footage or new office locations or are we merely seeing a replacement of aging chairs, and just sort of basic upgrades that they might have to do?
Stanley Bergman: Very good question there, and we internally discuss this on a regular basis. We do think there are a couple of clear points and there are a couple of items that are a bit more hazy. One thing that is clear is our corporate accounts footprint, larger practices, equipment is growing. The consumable side is a little bit more challenging but we are growing, our consumable market share in that area as well, although we have a very large market share already, and think that the related Equipment business is doing well. The number of new designs request is no where near the level it was two years ago. It bounces around, one month it's up, one month it's down. So it's clear that its not as robust. It is also clear that people that we're going to replace equipment two years ago, and they didn't do it two years ago are coming back to do that. There are new practices opening, no question about it. Not again as robust as a couple of years ago. There is some private equity money coming in to the corporate side. So overall, we remain optimistic that we're moving towards the numbers on the equipment side that we experienced two years ago, but don't believe we're going to be at that number in the next several quarters.
Derek Leckow - Barrington Research Associates, Inc.: And would this lead you to then, I mean, at this point in time, sort of maintaining you're current level of sales force representation and also your service capabilities? Or do you think it's time to start to see some investment in those two groups? And finally, just another question, the human resources, wondering about the mix between the sales reps who won the Veterinary side, are you adding any reps to the group and is that a net number that you provided that three loss of sales reps, what's the net number?
Stanley Bergman: Right, on the numbers, I don't have those in my head, but Steven usually knows those numbers and he'll think about it while I'm talking, we'll look it up. On the Dental North American side, we continue to be aggressively recruiting experience equipment and consumable representatives. I don't think our overall number has increased, but the quality of our sales force has increased. We have been able to attract experienced representatives, and I would say particularly in the last year on the Dental side. Many of those representatives are not yet fully productive as they have non-compete and sit on the sideline, but have had no problem in attracting good representatives. We slow down on our rookie classes during the recessionary period, but I believe we just add one and we're going to put and we're going to have another one soon. So we continue to invest in our field sales representatives on the Dental side in the United States and in Canada. And we'd expect that number to grow slightly over time but definitely, the quality of its sales force to increase with the addition of competitive representatives. On the Technology side, on the tech service people, I don't know the exact answer but my guess is we continue to add slightly but also to rebalance, and we are shifting towards those parts of the country that are more economically robust and filling out in other parts of the country. But overall, my suspicion or my thoughts are that we are increasing slightly the number of representatives, technical representatives and shifting around. By the way, you don't need a lot of technical representation for digital X-ray and for D4D, the technical service and for i-CAT. You need more technical representatives for the installation of the traditional equipment. And your last question is on the Butler Schein side, the sales force, as Steven indicated, is stable. Clearly, after the integration is complete, and we start focusing on the selling side versus the inwardly focused and I think it's very important for us to remain inwardly focused through the third quarter plus the beginning of the fourth. We cannot take our hands off the wheel in terms of making sure that the systems are working well, that all the challenges that go with an integration are dealt with. There's no point to advancing sales on the marketing side or additional sales people or adding additional telesales people, field of telesales, until such time as the integration is complete. It's going as well, perhaps even slightly better as we discussed it at our board meeting last week with our venture partner, everyone's happy. But we cannot take our hands off the wheel and throw on the integration side. And so the last distribution center is integrated and all the software changes will be made. Once that's done, it will be full ball in terms of sales and marketing and also adding additional field and telesales representation in areas where we feel we could take advantage. In addition to that, by the way, there will be further cooperation as noted early on between our U.S. and our global Animal Health business who create the synergies as we have on the Dental side.
Steven Paladino: Just to give you the second part of your question, on the Butler Schein side, those three salespeople, that is not a net number. That's an absolute number. We only lost three people in total since the integration has started. And overall, our field sales consultants were up modestly. We added about seven people on a worldwide basis this quarter versus the end of Q1 with four of those people in the North American Dental market and the balance in International.
Operator: Your next question comes from the line of Lawrence Marsh with Barclays.
Lawrence Marsh - Barclays Capital: Stanley and Steve, just want to make sure I'm hearing you correctly, the FX and the tax rate seemed to be offsetting each other still as you go forward. It sounds like your both a little bit bigger impact than last quarter. I want to make sure I heard that right. And then Steve, will you talk about the convert redemption being slightly beneficial. I mean is that a $0.01, as much as a $0.01 benefit in 2010 or no?
Steven Paladino: On your second question, no, it will be less than a $0.01. It won't even be round to a $0.01 because we'll only have four months of benefit, so it will be less than a $0.01. And I think you're right, I haven't looked that at exactly the way you're seeing. I think the effective tax rate being lower is offsetting some of the foreign exchange negative impact. Right now, the dollar to the euro is like 1.31 to almost 1.32. So the euro strengthened a little bit from where it's been, but still compared to our initial expectations, we'll probably $0.05 to $0.06 negative since the beginning of the year, again, assuming exchange rates stay where they are.
Lawrence Marsh - Barclays Capital: And on taxes, I know it's way to early to talk about '11, but it seems like directionally, should we not assume that you have the ability to drive a more efficient tax rate over a period of time or do we really think of 2010 as just an anomaly?
Steven Paladino: 2010 is not an anomaly. We think we can keep the effective tax rate in a similar range going forward. I'm hesitant to say that we can bring it down further next year, but I think we can keep it in a similar range as of the 2010 effective tax rate.
Lawrence Marsh - Barclays Capital: And just on the Section 168, I'm assuming you guys continue to feel pretty comfortable that, that would be extended into 2011 or is it too early to say?
Steven Paladino: It's kind of early to say that. I still think that we believe that, that will be extended, but it's really all I can say. I think next quarter's conference call, we can give a better update.
Lawrence Marsh - Barclays Capital: And then finally, on the acquisitions in Dental, Steve, it sounds like a lot, mostly specialty, do we assume that's mostly orthodontic dealers? And am I wrong to think that sort of an annualized benefit of $70 million, $80 million? Am I right in size and am I right in sort of where you are?
Steven Paladino: Yes, But size is right on. Actually it's probably a little bit north of that. On a full year basis, obviously, we'll have less this year because the $70 million or $80 million for 2010 is a good number. But on an annualized basis, it will be higher because obviously, the acquisitions in total did not have at all at the beginning of the year. And I'm not sure if I have a lot more information on, it is within our Dental specialty area, I don't have a lot more specific granular on product categories than that.
Lawrence Marsh - Barclays Capital: I mean, but you call it orthodontic, I know you've been an implant. So you're saying you don't want to be too much more specific than that at this point?
Steven Paladino: That's right, but it's in that specialty group.
Operator: Your next question comes from the line of Richard Close with Jefferies & Company.
Richard Close - Jefferies & Company, Inc.: Try this another way with respect to the Dental trends to get comfort, with respect to the remaining second half, if you look back at the second quarter and look at the individual months April, May, June. Can you go over what kind of progression you saw or trends that you saw as the months progressed throughout the quarter?
Stanley Bergman: Where we look at that in the past, it's not always a good indicator because sometimes we see a strong month and then the next month is not as strong and because of purchasing patterns of the end user. So overall, I can tell you we think the better way of looking at it from a -- and I'm really referring to on equipment is the fact that our order book is growing, has been growing for the full year. It really means that, overall, equipment is showing some positive signs. But to look at equipment on one month versus another because of the timing of the installation, really, we don't think is a good indicator. As far as the consumables, consumables have been pretty consistent. Last quarter, we were 1.2% local internal consumable growth this quarter, a little bit ahead of that, 1.3% and we're kind of feeling like directionally, it's continuing to go in that positive direction. But again, booking at specific months probably it could give you a false positive or a false negative.
Richard Close - Jefferies & Company, Inc.: And just, I guess, a follow-up on the $0.05 to $0.06 on the foreign exchange, just to be clear, previously I think in the last quarter, did you not say $0.04 to $0.05? Just wanted to see what the change was there.
Steven Paladino: It's really at the same range, so it's not that this is a change, it's just, when we look at the detailed calculation rather than $0.04 to $0.05, it was actually $0.05 to $0.06. So it's really not anything different, just a refinement of the calculation.
Richard Close - Jefferies & Company, Inc.: With respect to the North American Medical market, obviously, a lot of talk about trends in terms of the physicians moving towards the hospitals, becoming employed by the hospitals. Can you talk a little bit about how you're dealing with that or how you're addressing that? I believe you started like Consulting or Health Services business to maybe build business or build communication with the hospitals and keep those physicians? Maybe go into your strategy on that on a go-forward basis.
Stanley Bergman: Yes, we're well over the limit right now, it's probably best for you to give Steven a call. But in summary, because I think this is probably been of interest to you on tied investors and group. We conducted a strategic review two and a half years ago. The result of that strategic review was amongst other things, the establishment of two major areas of focus. One was on the large practices and the emerging relationships between physicians and hospital networks, and that connection established the healthcare services group moving resources from the small practice part of the business into that and that has been quite effective and certainly timely. Our relationship with Medline also helps in that with regards as well as the Allscripts relationship, and two other strategic partners that we put in place. To a large extent to address this issue and the other area of major trend was the growing drive towards specialty and a particularly large specialty groups, and we have in that area also put some focus into play. I think we should probably conclude at this time, and maybe a one more short question.
Operator: Your next question comes from the line of Jeff Johnson with Robert Baird.
Jeffrey Johnson - Robert W. Baird & Co. Incorporated: Steve, if I could just ask a couple of clarifying questions on modeling and that will be it. You said there was a $0.01 impact this quarter from FX and everybody seems to be trying to get down very detailed on guidance here. So that implies that there's a $0.05 drag we're selling in the second half of the year from FX? And then, I think, last quarter, you're guiding to below 32% tax rates, so really only an incremental $0.01 or two pickup here from the new tax rate guidance, is that a fair assessment?
Steven Paladino: Yes, the only thing is that on the taxes that's corrected on the foreign exchange, it's probably a $0.01 or a little bit over a $0.01 per quarter, not $0.05 for the balance of the year. It's $0.05 to $0.06 for the full year.
Jeffrey Johnson - Robert W. Baird & Co. Incorporated: And the minority interest line, a little above what I was looking for this quarter, obviously, Butler had a good quarter. But the restructuring charges or the Butler charges from the restructuring kind of reduce the minority interest expense this quarter. Is that correct? Or should that be ticking up on a go-forward basis?
Steven Paladino: Yes, that's correct but also the other big contributor was on our CAMLOG business where we also own a majority interest that had a good quarter.
Jeffrey Johnson - Robert W. Baird & Co. Incorporated: And that going forward though you think that line begins to tick up starting the next couple of quarters?
Steven Paladino: Yes. I think more so in Q4 because there still some integration expenses in Butler in Q3.
Stanley Bergman: Thank you very much everyone. Thank you for calling in. I'm sorry we went over, but it was quite a complex quarter, and there's a lot going on in the business. The numbers are actually quite clean but there's a lot going on, a lot of noise going on in the marketplace. And as I think you can tell from the prepared remarks, the answers to questions, Steve and I remained at this point in time, quite bullish on the future of the business. We think there is a complexity in the marketplace that needs to be understood from a nuance point of view, and we think we will continue to gain market share, manage our expenses and grow the business, and therefore, increase shareholder value. Thank you for calling. Steven can be reached directly at (631)843-5915 and Susan Vassallo at (631)843-5562 if you have any questions. Thank you very much and look forward to speaking in about 90 days. Goodbye.
Operator: This concludes today's conference call. You may now disconnect